Operator: Good day, and thank you for standing by. Welcome to the 2seventy bio Second Quarter 2023 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jenn Snyder, Head of Corporate Affairs. Please go ahead. 
Jenn Snyder: Thank you, operator. This morning, 2seventy bio issued a press release providing a business update in addition to second quarter 2023 financial results. The press release can be found in the Investors & Media section of the company's website at 2seventybio.com. Speaking on the call today are Nick Leschly, Chief Kairos Officer; Chip Baird, Chief Financial Officer; and Steve Bernstein, Chief Medical Officer. Philip Gregory, Chief Scientific Officer, is also on the line for the Q&A section.
 As a reminder, today's discussion will include forward-looking statements related to 2seventy bio's current plans and expectations, which are subject to certain risks and uncertainties. These forward-looking statements include statements regarding our strategic plans, time lines and expectations and statements regarding our financial condition, expectations and other future financial results, among others. Actual results may differ materially due to various risks, uncertainties and other factors, including those described in the Risk Factors section of our most recent Form 10-K and other SEC filings.
 These forward-looking statements represent our views as of this call and should not be relied upon us representing our views as of any subsequent date. You are cautioned not to place any undue reliance on these forward-looking statements, and except as required by law, we undertake no obligation to update or revise any forward-looking statements. At this time, I would like to turn the call over to Nick Leschly. Nick? 
Nick Leschly: Thanks, Jenn. Good morning, everyone, and thank you for joining us as we discuss our second quarter 2023 results and business updates. We are now well into our second full year as 2seventy bio, executing on our mission of giving more time to people living with cancer through the transformative power of cell therapy. Since the creation of 2seventy, our mission has always been dual-pronged: to deliver on the commercial potential of ABECMA and to leverage our translational engine to develop an innovative cell therapy pipeline.
 And in the first half of 2023, we've made important progress against these goals. With ABECMA, we continue to successfully deliver in the commercial setting to an extensive and growing number of people living with multiple myeloma who are in need of better treatment options. We recently hosted a myeloma patient and his wife at our all-hands meeting, reminding us the impact that ABECMA is having on patients and families. It was humbling, inspiring and a deep reflection of our why.
 At the same time, we recognize we are in the midst of a rapidly evolving competitive environment, which is expected to impact the second half of ABECMA performance. Chip will comment more fully on ABECMA market dynamics. And I can say that we've spent a significant amount of time with the broader BMS team to hear not only their rationale for the long-term belief in the potential of ABECMA, but also the month-to-month tactical in-line commercial strategy.
 It is both grounded in a strong understanding of the landscape and very well supported by internal resources from the CEO to the sales rep, given their conviction to the cell therapy field. Overall, we're making significant short- and long-term investments with BMS to maximize the potential of this important therapy for patients.
 On the development side, we continue to apply our scientific knowledge and research engine to address some of the most pressing therapeutic challenges in oncology. We have a number of preclinical and clinical programs in liquid and solid tumors. And the common thread is that we're using layered cell therapy approaches to deliver potentially transformative impact for patients.
 One such program is DARIC33. Since the Grade 5 AE in June, the 2seventy and Seattle Children's team have conducted the root cause investigation and have developed potential amendments to the PLAT-08 protocol. This past Friday, Seattle Children's received the official notice of the FDA clinical hold. This was expected and we need to hear more from the FDA in terms of their specific concerns and how it will impact the potential path forward for the program. Steve will provide more details later in this call.
 Our pipeline programs are stacked with innovation and represent multiple opportunities for us to make unincremental steps forward for patients with cancer. That said, we will also be clear eyed and disciplined about these programs. And if a program is not clearing a very high bar, we will terminate and allocate capital elsewhere. I look forward to your questions, but for now, I'll hand it over to Chip to take more -- to talk more about ABECMA and our Q2 results. Chip? 
William Baird: Thanks, Nick, and thanks to everyone for joining the call. ABECMA delivered solid results in the second quarter with $115.1 million of revenue in the United States. As a reminder, we are in a 50-50 co-co with BMS for the U.S. ABECMA business and we record collaboration arrangement revenue, which represents our 50% of the operating profit of the U.S. business.
 For the quarter ending June 30, we recorded $24.5 million of collaboration arrangement revenue related to the ABECMA collaboration. This is better than we had expected and is driven by an improving gross margin, which in turn has been helped by a continuing improvement in manufacturing success rates, which remain north of 90%. So as expected, the ABECMA collaboration is delivering cash flow to 2seventy.
 As BMS reported in their 2Q earnings, they are forecasting lower revenues in the third quarter with a return to growth in the fourth quarter. Based on this, we have updated our ABECMA U.S. revenue guidance for 2023 to the lower end of our original $470 million to $570 million range.
 We have 3 important points we want investors to hear on this updated forecast: First, the downward revision was not driven by the scheduled maintenance of the S12 manufacturing facility in June. This maintenance was planned and built into the original forecast and is a normal course for aseptic manufacturing processes. The shutdown was successful and we're back online. 
 Second, the downturn is due to a competitive -- to a dynamic competitive landscape. In the fifth-line plus setting, the original patient bolus has been largely addressed, and we are now in an incidence-based market. But with the December PDUFA date for a potential label expansion to third-line plus, we believe there is a significant larger opportunity for ABECMA coming soon. We are investing with BMS in manufacturing capacity for 2024 and beyond to address this larger market.
 And third, the BMS commercial team is increasing their sales and marketing efforts on ABECMA. We spent the day with the BMS commercial leadership last week, and they are increasing their commercial footprint and intensity across the multiple -- across the myeloma market. 
 We continue to closely manage our expenses and together with the improving contribution from the ABECMA collaboration, you can see the impact on our bottom line. For the second quarter of 2023, we recorded a net loss of $42.1 million, down significantly from a net loss of $77.4 million for the same period last year. We remain committed to maintaining our cash runway into at least 2026 and we continue to actively evaluate pipeline investments and our overall cost structure. With that, I'll hand it over to Steve to provide some additional detail on the update we provided this morning regarding our AML program. Steve? 
Steven Bernstein: Thanks, Chip. Good morning, everyone. In June, we announced the pause of our PLAT-08 study in AML in response to a fatal Grade 5 serious adverse event. This event occurred in the first patient treated at the second dose level in the Phase I trial. It cannot be stated enough that the safety of every patient who participates in our studies or receives our therapies is of utmost priority to us, and we continue to keep the patient's family in our thoughts.
 Since that time and in collaboration with Seattle Children's, both our partner and the regulatory study sponsor, we have been conducting a thorough investigation of the root cause of this event. This investigation has provided insights into the pathobiology of this toxicity leading to several study protocol changes, which the team believes may mitigate this toxicity and allow for the continuation of the PLAT-08 study.
 As a result, our collective team is actively amending the protocol. And as Nick shared, we received formal notice of FDA clinical hold on Friday afternoon. We will continue to collaborate with Seattle Children's and the FDA to determine appropriate next steps and a potential path forward here. I'm happy to address any questions in the Q&A portion, but for now, we'll pass it back to Nick. 
Nick Leschly: Thanks, Steve. We appreciate everyone's time. And we'll close by saying that we remain committed to delivering for patients, to innovation and to driving value for shareholders. There is no hiding that it has been hard -- a hard and rapidly evolving period for the company and all stakeholders. We are focused on doing everything we can to adjust and improve our strategic focus and day-to-day execution to enable us to best deliver across all stakeholders, including hard-working, dedicated employees, committed shareholders and, of course, patients and families in need. With that, operator, you may now open the line for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Salveen Richter with Goldman Sachs. 
Tommie Reerink: This is Tommie on for Salveen. Can we just get a little bit more detail about the drivers behind the updated revenue guidance? I believe that you mentioned that it was not due to the prescheduled shutdown, but more so the patient demographics. Just some more color on that would be helpful. 
Nick Leschly: This is Nick. I think Chip can jump into that. I think we've certainly been watching all the various moving parts. And one thing that you know when these maintenances come, we had some confusion in the marketplace. So I think people were looking to that and saying, wasn't that a bit of a surprise? Or would why was that a surprise? And we just want to make clear that it wasn't right? I think what is evolving is the dynamics in the marketplace. And as Chip said and can elaborate a little bit more on along with BMS, we feel confident that as the marketplace continues to evolve and as the expansion of the lines evolves, then so will be the use of ABECMA in combination or not in combination in partnership with these other treatments for myeloma. But Chip, do you want to provide a little bit more detail on what we know? 
William Baird: No, that was well said. I think what we have seen is an increase in the overall CAR T capacity, both our capacity, competitive capacity as well as the utilization of T cell engagers and collectively more patients in the fifth-line plus setting, getting the innovative therapies, which is great for patients. Again, we view that as a moment in time, the field is going to shift yet again towards the end of this year with our PDUFA date and again, with other regulatory approvals coming. Stepping back, myeloma is a huge market. It's a huge opportunity. The history has never been a winner take all. And so I think these therapies will all have important roles to play and we certainly see that for ABECMA as well. 
Operator: Our next question comes from the line of Daina Graybosch with Leerink Partners. 
Daina Graybosch: We've been doing some KOL interviews recently. And there is some skepticism, I'd say, in the market that there's a lot of -- there'll be a lot of demand for CAR T in the [ ureal ] lines of myeloma, just given referral dynamics and maybe hesitancy for community docs to refer their patients earlier. And I wonder what work you've done with BMS that gives you confidence in that demand will come and how much more demand you would expect as you move into the [ ureal ] lines in KarMMa-3? 
Nick Leschly: This is Nick. I'll take a quick stab. I think you can call 100 doctors, probably get 100 different answers. Our view and our conviction and our research in collaboration with BMS is pretty clear, that we do think there's a very strong role for CAR T and a very strong role for that as it gets earlier. Because at the end of the day, cancer is about efficacy. It is about having a dramatic impact and the sooner you can have that, the more impactful it will be over the long term.
 So we think that certainly has to be proven out through the data, but it is starting to be proven out by the data by us as well as other CAR Ts. So in that sense, we have a very strong conviction that fifth line, fourth line, third line, second line and certainly, first line is going to be an area where we'll have a very strong contribution in place in the marketplace. Convenience is certainly a factor, especially if you have no alternatives. So for example, in the fifth-line setting, if you can't get a hold of our CAR T, what are you going to do? If you don't have time, you're going to take whatever is available. And that is the dynamic that we've seen.
 We don't think that is a data-driven dynamic. That is an availability driven dynamic. And so over time, that will, we believe, evolve, especially as we get into third line and then as you go even further. And I think we've heard the same thing out of our J&J colleagues as well as anyone else who has a CAR T. So we're pretty confident but again, that's something that will have to play out quarter-by-quarter. 
Operator: Our next question comes from the line of Yaron Werber with TD Cowen. 
Yaron Werber: Great. I have a couple of questions. One, when you're thinking dynamically what's going on in the competitive market right now, was the issue in the quarter sort of just prioritizing the wait list or the list in general and clinics to make sure that they match up with supply? Because, obviously, there was plenty of demand out there.
 And secondly, it sounds to me like your Q3 is going to be sort of a downtick over Q2 and then Q4 is going to grow over Q3. Can you just explain a little bit? I know July is obviously mostly off-line because of the way it worked out. But are you totally back to your capacity back in May? Or are you able to increase it at this point by the end of the year? And how fast would that happen? 
Nick Leschly: Chip, do you want to just -- I know you had a few comments there. 
William Baird: Yes. Thanks, Yaron. Yes, I think you have it right. The third quarter is impacted by the June shutdown. So again, as we've talked about, the June slots become July revenue. So there's roughly a month lag there. So July is a light month, which contributes to the expectation that the third quarter is down. We do expect a return to growth as we move month-to-month and quarter-to-quarter here driven by a couple of different factors.
 We're with BMS expanding the number of sites and the overall commercial footprint. We're expanding the number of reps and people in the field, detailing the backlog, talking to treaters, not just at academic centers, but in the community setting and back to Daina's earlier question, I think that's an important dynamic here as well as that community referral dynamic that's important to fifth line, will be important in the earlier lines as well. So again, I think it will evolve over time, but we certainly -- from the top on down, this is a priority for us. This is a priority for BMS as well. 
Nick Leschly: And Yaron, just highlight a few things that Chip just said because I think this was and is very active and has been a very active ongoing effort. I'm sure you've chatted with the equivalent folks over at BMS, and we certainly have, that there's a pretty dramatic full force investment going on across the capacity, which has been a lot of the focus, but also around sites, around sales, boots on the ground, et cetera, where now you're getting to a more traditional kind of share of voice situation where you want to make sure that people have access. But it has still been settling, right? And I view this what happened in the last quarter or the last 6 months, it's still very much a settling phenomenon. It is not a kind of the situation is done and over. That is not the way we look at this, very much a growth and continued settlement.
 And I think there's going to be more than enough growth opportunity for both ABECMA and certainly the other assets in CAR T as well as the TCEs that are sitting out there or other drugs that are coming forth in myeloma. We've seen that again and again and again. We're just in that early ramp-up phase and ABECMA is one of them. And this quarter certainly sort of the situation we're in right now is very much evolving and one that I don't think anyone has a clear understanding on. We're getting one ourselves that is better and one that has led us to a lot of confidence, and we are happy to see that BMS shares that confidence and certainly have no waiver in their stance. 
Operator: [Operator Instructions] Our next question comes from the line of Kelsey Goodwin with Guggenheim. 
Kelsey Goodwin: Maybe shifting gears off of ABECMA. Maybe could you just provide some more color on the toxicity root cause analysis in the PLAT-08 study? And maybe could you provide some color on what protocol changes were made post analysis? 
Nick Leschly: Kelsey, this is Nick. Great question. And I'll save my colleague, Steve, here -- Steve from a painful sort of nonanswer. Right now, we're very much -- like you said, we have done the root cause analysis. We're confident that we have some proposals in collaboration with the FDA to get this study sort of back up and rolling. We can't get into the details of that right now because we want to make sure we honor the relationship, not only with the study and the patients but also with the FDA. So that's about as far as we can go at this point in time. So that was -- the wording that we chose there was pretty specific that it's ongoing. We have a plan, it's shared with SCRI and the FDA, engagement has begun. And so we're confident, but we will share details at a subsequent date. 
Operator: Our next question comes from the line of Vikram Purohit with Morgan Stanley. 
Vikram Purohit: Just 2 quick ones from our side. First, on the increased commercial presence you alluded to from BMS' side, could you talk a little bit more about kind of the size and scope of that increased commercial muscle that BMS plans to put into ABECMA. What is the scale of that? And what are some of the key messages that you've discussed with BMS that they'll be putting forward to help ABECMA compete further? And then secondly, could you remind us what is implied from like a pipeline development standpoint in your cash run rate guidance for 2026? 
Nick Leschly: It's Nick again. Thanks. Good question. So you're also going to be a little probably sort of not totally satiated with my answer. We're not going to provide the details on that expansion there, but it is sizable, and it is significant, both along the sites and the intention there. So that rollout, getting to more and more centers in a rapid fashion, still a bit leading in the field on that. But also people and boots on the ground across their cell therapy capabilities because the innovation base sell on this is something that's really important and that is an exciting piece.
 So that I feel a lot of confidence on. And Chris, the incoming CEO there, is very much convicted and behind cell therapy, always has been. He's been our lead contact throughout our entire relationship. So we're very pleased to see that he got the opportunity to be the incoming CEO. So in that sense, I'm confident around the commitment in that regard. As far as it relates to what the messages are, that will become clear in the field, but we certainly stand behind the real-world evidence and how people are experiencing ABECMA in a very consistent manner. Not only from a manufacturing point of view, but from a safety point of view and efficacy point of view.
 And so there's lots of ample data out there that will continue to evolve that leads us to believe that it's sort of one of the drugs of choice for sure in the CAR T space. And as it expands, we feel that there is plenty of opportunities that relates to that. And those are the types of messages people are going out there with. And that is, as you know, is going to be a quarter-by-quarter now kind of battle, if you will, but one that BMS is certainly used to. And their experience in myeloma is probably -- exceeds just about any other player in the space given their Celgene history. 
William Baird: Do you want to address that in '26? 
Nick Leschly: Sorry. That's the second question. 
William Baird: I think the second question was just into '26 and what's assumed there? And I think we assume a contribution from ABECMA, which we've already seen and that contribution from a cash flow perspective continues and starts to ramp as we move into the third-line setting, but certainly between the overall utilization and the margin pickup that we've seen there. That's something that we feel good about, and we'll continue to closely monitor and drive towards.
 From an investment perspective, we have a number of shots on goal in the clinical setting and then moving into the clinical setting, our goal in the first 15 to 30 patients is to achieve human proof of concept in an unincremental way. And either we see that or we move on. I mean, as Nick said before, we allocate capital elsewhere. The other thing that we've been emphasizing and we showed this slide on our R&D Day, but just to say it again, a lot of that R&D is funded through collaborations, whether it's the solid tumor programs with Regeneron, whether it's our investment in ABECMA with BMS, we actually have a good amount of subsidy that comes in the collaborations that we've put in place to enable us to prosecute a cell therapy pipeline across a number of programs. 
Nick Leschly: Just one last thing I'll add to the question. Real quick on the backside of ABECMA. Just to go back to it because I find this -- entertaining is the wrong word, but I find it curious to see how everyone is so quick to draw conclusions on the performance of a drug and the future of a drug based on sort of information that is happening real time. And I think if CAR T has shown us anything over the last couple of years, is that we don't know what the hell we're talking about half the time, as it relates to what the opportunity is at that moment in time. Because the field is digesting this, the FDA is digesting this, manufacturing specialists are digesting this, the sites are digesting all this. And that we're still very much in that space.
 So from our point of view, this quarter and the bounciness of this quarter has no reflection on the future of this opportunity as it relates to ABECMA. The one thing we know about myeloma is it has unfortunately, a tremendous number of patients that are in need. And that is going to continue to expand and ABECMA is going to have a very strong role in that. We feel very strongly about that and it will play out quarter by quarter, but the long-term aspects and potential of this medicine has never been in question nor is it in question for BMS. 
Operator: Our next question is a follow-up from the line of Daina Graybosch with Leerink Partners. 
Daina Graybosch: I'm going to ask another ABECMA one. And sorry, Nick, asked you to look at what's happening in the moment. You have really different sites where they're big academic centers and both the competitive CAR T and ABECMA are offered. And then BMS has really already expanded it to sites where the other competitive CAR Ts don't have available [ slots ]. And I wonder what you're learning from in these 2 different types of sites competitively, those that have more options and those have fewer options. If you have any insights that you've gained as you have more slots available on the demand and the competitiveness and any implications of that going forward. 
Nick Leschly: Yes, I do, frankly, and so does BMS. But frankly, it's not one that we're going to spend a lot of time talking about publicly because it is exactly that dynamic that gives us actually quite a bit of confidence, which is there are some centers certainly that have both available. They're one that have, in some cases, just ABECMA available, and we're following that at a site-by-site level. And that's something that gives us insight into utilization.
 And in some cases, generically speaking, right, people have a good experience with one drug or the other and you're going to move in one direction or the other for a period of time. But as people get and want to use both medicines more frequently, we're not seeing that one light goes out and on light turns on, and that's the end of the story. It's very much not the dynamic. And BMS' footprint has expanded, but has not expanded greatly in the last few months and partly because that's -- we were going from a demand basis, right, where you're supply constrained, to now go into where you actually want to drive more and more demand because supply is catching up.
 So I continue to have that dynamic. I think ABECMA performs very well in the real world. We saw that in the data and also in the dialogue as it relates to how a provider can have very clear expectations of the efficacy and safety profile and clarity on the probability of being able to manufacture.
 Lots of those things, I think, puts ABECMA in a very good position. And the analytics, that I won't go into detail on very much support that. And that's something that will play out. Does that mean we know everything? No, not at all. Does it mean we have confidence about the future and our place in that? I would go so far as to say yes on that. And I think BMS would agree on that. But as you and I both know, BMS certainly is not sort of prone to sharing a tremendous amount of detail at that level because it's sort of not necessarily relevant. It's also a competitive field, so we're going to continue to participate accordingly. 
Operator: Our next question comes from the line of John Newman with Canaccord Genuity. 
John Newman: So you've discussed in the past about the ongoing work to transition to suspension vector. I think you've actually investigated that in KarMMa-3. Curious when that comes online, should we think about that suspension vector process as giving you more capacity or pushing the success rate even higher? You've always been in a very high success rate, but wondering if it's one of those or perhaps both of those? 
William Baird: Yes, John, I'm happy to take that one. Yes, the suspension moving towards a commercial approval for that early next year. What that does for us is a couple of things. It certainly will help on the gross margin. Suspension is a more cost-effective way of manufacturing vector, which is a key starting material for our manufacturing process. It also has greater capacity. And so that derisks the supply chain and our ability to continue to scale drug product. Ultimately, drug product is what we're going to be focused on for couple of years to come in terms of increasing capacity there, but vector -- and suspension vector is an important component of that. 
Operator: And I'm showing no further questions at this time. I'd like to turn the call back over to Nick Leschly for closing remarks. 
Nick Leschly: Yes. Thank you, everybody, and thank you for joining and thank you for the questions. And I would encourage you if you want to understand any of these in more detail to reach out to us, we're more than happy to talk about any elements of this. But for now, I'll just thank everyone for joining the call and hope everyone has a great day. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.